Operator: Good day everyone and welcome to the Cintas Quarterly Earnings Results Conference Call. Today's call is being recorded. At this time I'd like to turn the conference over to Mr. Mike Hansen, Vice President of Finance and Chief Financial Officer. Please go ahead, sir.
Mike Hansen: Good evening and thank you for joining us this evening as we report our third quarter results for fiscal 2015. With me is Paul Adler, Cintas' Corporate Controller. After our commentary, we will be happy to answer questions. The Private Securities Litigation Reform Act of 1995 provides a safe harbor from civil litigation for forward-looking statements. This conference call contains forward-looking statements that reflect the company's current views as to future events and financial performance. These forward-looking statements are subject to risks and uncertainties which could cause actual results to differ materially from those we may discuss. I refer you to the discussion on these points contained in our most recent filings with the SEC. As we reported in today's press release, our results for continuing operations adjusted to exclude all impacts of the document management businesses are more representative of our ongoing performance. Therefore, our discussion of the company's performance will be based on the exclusion of document management. We are pleased to report third quarter revenue of $1.109 billion. Organic revenue growth, which adjusts for the impact of acquisitions, foreign currency and the Shred-It transaction was 7.5% for the third quarter. Each of our businesses organic growth was positive for the third quarter with rental organic growth being 7.8%, Uniform Direct Sales being 4.8%, and First Aid, Safety and Fire Protection Services organic growth being 7.5%. The third quarter revenue impacts from severe winter weather and the oil and gas related customers’ was relatively minor. Paul will touch on this when discussing the individual business results. We’re also pleased to show continued improvements in income as adjusted compared to last year’s third quarter as adjusted as operating income increased 17.1%, net income from continuing operations increased 20.2%, and earnings per diluted share increased 25%. Certainly, lower energy related costs help the comparison to last year, but we also feel good about our ability to leverage our infrastructure and manage our cost structure. Paul will discuss the energy related cost in more detail. We want to recognize our employees and we call partners for their dedication and competitive urgency in serving our customers. They continue to do a great job. Let me make a few comments about the Shred-It investment. First, regarding the presentation on the income statement, we have pulled the results out of SG&A and included in a line under income taxes entitled loss on investment in Shred-It, net of tax. This is in accordance with generally accepted accounting principles and provide the pure indication of the performance of the business. Second, regarding the third quarter impact, we’ve recognized a $6.8 million net loss for our third quarter or negative $0.06 per share. This negative impact was primarily due to integration costs such as IT, system converting costs and rebranding costs. In addition, Shred-It has a fairly large presence in Canada and the weakening of the Canadian dollar compared to the U.S. dollar also had a negative impact. The conversion in general though, continues to progress as planned and we are pleased with the performance of the business. We indicated in today’s press release that we acquired 3.2 million shares of our common stock during the third quarter. The total cost was $251 million and the average cost per share was $78.84. This buyback had $0.01 positive impact on our third quarter EPS and we expected to benefit the fourth quarter by $0.02. As we announced on this past January of 13th, the Cintas’ Board authorized a new buyback program of $500 million and that entire program remains available as of today. We also announced in today’s press release that we have updated our guidance. We now expect our fiscal 2015 revenue to be in the range of $4.46 billion to $4.49 billion. We have tightened the revenue range slightly to reflect continued weakening of the Canadian dollar and for potential oil and gas related customer impact. While we did not see any noticeable revenue impact in the third quarter from our oil and gas related customer, we did began to hear from them that a negative impact is coming. On the EPS side, we now expect our fiscal 2015 earnings per diluted share guidance to be in the range of $3.55 to $3.58. When excluding the special items of the impact of the Document Shredding business and the additional gain on the Shred-it Transaction, the impact of the sale of stock in an equity investment and the impact of discontinued operations including the sale of the Document Storage and Imaging business. We expect fiscal 2015 earnings per diluted share to be in the range of $3.31 to $3.34. This EPS guidance is detailed in a table within today’s press release. I will now turn the call over Paul for more details on the third quarter performance.
Paul Adler: Thank you, Mike. Before moving into the third quarter results, let me remind you that there were 65 work days in this year's third quarter, which is the same as last year's third quarter. Our fourth quarter will have 65 work days, which is the same as last year's fourth quarter, for a total of 260 work days for the fiscal year. Looking ahead to next fiscal year, fiscal 2016 will have 262 work days, so two more than this year. By quarter, the work days will be 66 in the first quarter, 65 in the second and third quarters and 66 in the fourth quarter. As Mike mentioned total revenue in the quarter increased 7.0% excluding last year’s impact of Document Shredding. Total revenue increased organically by 7.5%. Total company gross margin was 42.9% for the third quarter of this year compared to 42.3% in last year’s third quarter. The current quarter gross margin of 42.9% expanded 80 basis points from last year’s third quarter gross margin of 42.1% adjusted to exclude Document Shredding. Total company energy related expenses for this year’s third quarter were 2.4%. Last year’s third quarter energy related expenses were 3.2%, but excluding Document Management they were 3.0%. I’ll discuss gross margin and energy related expenses by business in just a moment. Before doing so, let me remind you that we have three reportable operating segments: Rental Uniforms and Ancillary Products, Uniform Direct Sales and First Aid, Safety and Fire Protection Services. Uniform Direct Sales and First Aid, Safety and Fire Protection Services are combined and presented as other services on the income statement. The Rental Uniforms and Ancillary Products operating segment consist of the rental and servicing of uniforms, mats, towels and other related items. The segment also includes restaurant supplies and other facility products and services. Rental Uniforms and Ancillary Products revenue was $859.5 million, which is up 7.2% compared to last year's third quarter. Organic growth, which excludes the impact of acquisitions and foreign currency changes, was 7.8%. Organic growth was higher than total growth because of the continued weakening of the Canadian dollar. We did not see any noticeable third quarter revenue effect from oil and gas related customers, but as Mike mentioned, these customers businesses did begin to feel the impact of the low oil prices in the later part of the quarter. Aside from the oil and gas related customers, we saw no marketable change to net add stops in the third quarter. Our Rental segment gross margin was 44.6% for the third quarter, an increase from 43.9% in last year's third quarter. Most of these improvements came from energy related costs, which were 70 basis points lower than in last year’s third quarter. The third quarter Rental Segment gross margin of 44.6% was a slight decrease from this fiscal year’s second quarter gross margin of 44.8%. Energy related costs in the third quarter were 20 basis points lower than in this fiscal year’s second quarter. Our Uniform Direct Sales operating segment includes the direct sale of uniforms and other related products to national and regional customers. Uniforms and other related products are also sold to local customers, including products sold to rental customers through our direct sale catalog. Uniform Direct Sales revenue for the third quarter was $112.2 million, an increase of 4.2% compared to last year's third quarter. When adjusting for foreign currency changes, organic growth was 4.8%. Uniform Direct Sales gross margin was 27.7% for the third quarter, a slight improvement from last year's third quarter gross margin of 27.5% and this year’s second quarter gross margin of 27.6%. Both of these improvements are mostly due to lower energy related expenses. Our First Aid, Safety and Fire Protection Services operating segment includes revenue from the sale and servicing of first aid products, safety products and training, and fire protection products. First Aid, Safety and Fire Protection revenue for the third quarter was $137.1 million, which was 8.2% higher than last year's third quarter. Organic growth was 7.5%. We continue to be very pleased with this business. Third quarter organic growth came down some from previous quarters due to fewer repair jobs on the fire protection side of the business and due to the severe winter weather in the Northeast. This segment’s gross margin was 44.3% in the third quarter, an improvement of 80 basis points compared to last year’s third quarter gross margin of 43.5%. Energy related costs were 60 basis points lower than last year’s third quarter. The third quarter gross margin of 44.3% was an improvement over this fiscal year’s second quarter gross margin of 43.8%. Energy-related costs accounted for 40 basis points of the improvement. Switching to selling and administrative expenses, total company SG&A was 27.2% as a percentage of third quarter revenue, compared to a total company SG&A in last year's third quarter of 28.6%. When excluding the impact that document shredding had on last year's third quarter SG&A and revenue, last year's adjusted total company SG&A was 27.8% as a percentage of the adjusted revenue. On our second quarter call, we indicated that our risk management claims experience was better than the previous year and that better experience continued into our third quarter. Keep in mind however that we are self-insured. In addition to risk management and number of minor improvements were realized in other expense categories. The third quarter SG&A of 27.2% was a 50 basis point increase, compared to the 26.7% in this fiscal year’s second quarter. As we mentioned on the second quarter call, payroll taxes reset in our third quarter. This expected increase was partially offset by a number of minor improvements in other expenses. Our effective tax rate was 36.2% for the quarter, compared to 36.7% last year. The effective tax rate can fluctuate from quarter-to-quarter based on tax reserve builds and releases relating to specific discrete items. We expect the fiscal 2015 effective rate to be 37.3%. Our cash and marketable securities were $490 million at February 28, a decrease of $337 million from the $827 million at November 30th. This decrease is due to paying the $202 million dividend in early December and the execution of the $251 million share buyback during the third quarter, partially offsets by cash generated from our operating cash flows. Accounts receivable decreased $12 million since November 30th, due to the timing of collections. New goods inventory and in-service inventory levels at February 28th were relatively consistent with November 30th balances. Accounts payable increased roughly $27 million since November 30th, due to the timing of vendor payment due dates. Current accrued liabilities decreased by $221 million since November 30th, due largely to the payments of the accrued dividend, which was paid in December. Long-term debt remained at $1.3 billion, representing 1.6 times EBITDA. And finally, CapEx for the third quarter was about $50 million. Our CapEx by operating segment was as follows: $43 million in Rental, $2 million in Uniform Direct Sales, and $5 million in First Aid, Safety and Fire Protection. We expect CapEx for fiscal 2015 to be in the range of $220 million to $250 million. That concludes our prepared remarks and we’ll now be glad to answer any of your questions.
Operator: [Operator Instructions] And we’ll take our first question from Andrew Steinerman with JPMorgan.
Andrew Steinerman: It’s Andrew. I definitely appreciate you’re kind of talking about oil clients upfront because you’d be asking anyhow. But my question is when you look at your percentage exposure to oil clients, has it changed since you talk about those in late December and whey you say that you’ve allowed for some room for easing with your oil clients into fourth quarter, how much is this going to move the kind of fourth quarter organic number like is this a big deal or you’re just trying to kind of communicate one small piece of the business?
Mike Hansen: Andrew, we knew that we would get out this question, so we’re trying to anticipate a little bit. The magnitude of those oil and gas customers has not changed since the second quarter, so it’s still in the lower single-digits. And when we think about the fourth quarter, more of the impacts based on our guidance movement is due to the Canadian dollar, but there will be a little bit of an impact from the oil and gas customers. We have started to hear from them that they are reducing workforce to some extent. But like I said the impact is within our guidance and the amount of those customers hasn’t really changed.
Andrew Steinerman: Great. And just – the business even if they reduce people, I mean the uniform rental business doesn’t move quickly so I could try – again maybe I will try one more time, do you think that the oil and gas clients pulling back might move your organic rental number 10, 20 basis points? Or is that higher given the low single-digit exposure overall?
Mike Hansen: Well, I think it will be a relatively small move. And while we – I hesitate to give too many specifics, but I think it certainly is going to be less than a percentage point of impact in the fourth quarter. Now, the other thing I would say Andrew is we’re in the midst of this impact and we’re hearing from customers making moves on a daily basis if you will. And so, it’s a little bit hard to peg it exactly. We do think certainly that it’s within our guidance. As we get into fiscal 2016, we’ll certainly have to continue to evaluate how this moves and speak to that in July, but again it’s not – it is a relatively small portion of our overall revenue.
Andrew Steinerman: I appreciate. Mike, let me try one more time. So 95 plus percent of your business continues to be strong, right.
Mike Hansen: Yes.
Andrew Steinerman: Okay, thank you.
Operator: And we’ll take our next question from Gary Bisbee with RBC.
Unidentified Analyst: Hi, good afternoon, this is [indiscernible] for Gary, not to continue along the oil and gas exposure, but I think you guys mentioned last quarter some of the pricing pushback potentially from customers regarding lower fuel prices. Is that tended to materialize in the quarter and any comment on that?
Mike Hansen: Our pricing environment in the third quarter was relatively the same as the second quarter. So we didn’t see much of a change, I think what we had signaled last quarter was that look as we – as those customers start to feel the impact of the lower oil prices, conversations about pricing may be a little bit more difficult. But we did not see a dramatic change in the pricing environment in the third quarter.
Unidentified Analyst: Fair enough thanks. And I guess in terms of the – add-stop metric, I guess any kind of commentary around that and any more color just regarding, I guess, in the overall context of the job market here?
Mike Hansen: Well we, as Paul said, we didn’t see a noticeable change in the net add-stops number and that’s as you’ve probably heard from us that’s been relatively consistent over the last several years. And I think the impact of net add-stops on a quarter specific basis is just not that large and that’s the way it is been for the last-gasp five years and that’s what we saw in the quarter, just not much of an impact.
Unidentified Analyst: Thanks. 
Mike Hansen: We certainly love to see our customers begin to hire at a higher rate and feel the impact of that, but we didn’t see that in the third quarter.
Unidentified Analyst: Fair enough. And then I guess in terms of these Shred-It impact are you guys wanted to disclose, I guess what potential impact that could be on fiscal 2016 estimates or any whether it’s going to be material for your guys or kind of expected impact from that?
Mike Hansen: Well I will tell you, a year ago when we closed that transaction, we certainly with Shred-It put together a business plan and that business plan included certain performance expectations, certain synergies, certain integration costs. And that I would say that that integration is going as expected and we continue to be happy with that business. But because we are in the midst of that integration process, the results and the cost of those re branding efforts and IT conversion efforts are little bit unpredictable right now. And so we are not prepared to give really much of a forecast for the fourth quarter and certainly not for our fiscal 2016. As we get into fiscal 2016, that may change, but we need to see more of the integration be completed before we’re going to be ready to give forecasts.
Unidentified Analyst : Great and if I could sneak one more, and I guess could you guys comment, I guess on the M&A pipeline and kind of the activity levels there and, I guess, if the valuations are increasingly higher for you guys in the context around that would be great, thanks.
Mike Hansen: Sure, we do have an active pipeline were we are constantly looking for opportunities in that area. I would say that evaluations are generally fairly high, but we’re certainly willing and looking for opportunities in that area. Even though nothing significant is close we’re still that is a great use of our cash and we’re still looking for those opportunities.
Unidentified Analyst : Great, thanks so much.
Mike Hansen: Sure.
Operator: And we’ll take our next question from Manav Patnaik with Barclays.
Greg Bisbee: Hi, this is actually Greg calling on for Manav. I was just hoping you add a little bit more color on the weather impact for this quarter. I know the weather is pretty bad last year, just want to see how much for tailwind that actually was for the quarter?
Paul Adler: I would not say that it was a tailwind for the quarter. Last year, you are correct, last year the winter was fairly severe and it really affected our document management business more than any other business. It also tends to affect our first aid and safety and fire business a little bit more. And so I wouldn’t call that a tailwind for this quarter because yes obviously we don’t have the document management results and we had some weather issues this quarter in first aid safely and fire as well.
Greg Bisbee: Okay. And then I guess on document sales here [indiscernible] some of the tough comps, can be a little bit lumpy but this mid single-digit range that you had is that a reasonable expectation for what you are thinking about that business and what it can do?
Paul Adler: I am sorry you are talking about the document management business.
Greg Bisbee: I am sorry, Direct sales – Uniform Direct Sales.
Paul Adler: Uniform Direct Sales, all right.
Greg Bisbee: Sorry for that.
Paul Adler: That’s a very good business for us and we do believe that it can grow in the mid single-digits. We want to make sure that we’re selling the right accounts and profitable accounts. We aren’t interested in selling commodity direct sale of uniforms but we do believe that can grow in the mid single-digits.
Greg Bisbee: Okay.
Paul Adler: But as you say it is a bumpy ride with that business.
Greg Bisbee: Okay. And just one more from me on the CapEx guidance trending well there, is that being pushed out fiscal 2016 or is that kind of, you’re realizing that you don’t need to do quite as much or how should we think about that?
Mike Hansen: I would say that the processing capacity that we spoke off in the first half of the year is getting pushed into next fiscal year. We still have some SAP spending. As you know, we’re in the midst of the SAP projects for rental. And we’ll see a little bit of that get pushed into next year as well.
Greg Bisbee: Okay, thank you.
Operator: And we’ll take our next question from George Tong with Piper Jaffray.
Unidentified Analyst: Hi, this is [indiscernible] calls on for George Tong. I just wanted to touch on Uniform Rentals and see if you can give us a little more color on what’s really driving growth there, is it new customers, is it better pricing, give us a little more color on that.
Mike Hansen: Sure, it’s – I would say that it’s a same thing that’s been driving for the last several quarters and that is good new business sales, so new customers. It is penetration of existing customers with additional products and services and certainly pricing has helped this fiscal year as well. We’ve talked about the pricing environment being more positive this fiscal year than compared to last fiscal year, so that’s certainly has helped us well. So it’s a combination of the three of those.
Unidentified Analyst: Great. And touching back on CapEx, I know you were planning to build up some new facilities to expand your production capabilities or your processing facilities. I just wanted to see if there is any update on those plans?
Mike Hansen: We still are actively working on those plans. As I have mentioned that the actual spending has been pushed – will get pushed into next fiscal year, but we still do need some capacity in certain areas and we’ll be moving forward with those plans next fiscal year.
Unidentified Analyst: Okay, great. Thanks for the color.
Mike Hansen: Sure.
Operator: We’ll take our next question from Andy Whitman with Robert W Baird.
Andy Whitman: Hi, guys. Good afternoon. Like I just wanted to understand the – some of the impacts of Shred-it here and maybe the first thing is a definitional question in your guidance. You mentioned that Shred-it – your guidance excludes – assumes I think you said considers no contribution from Shred-it. Is that saying that you expected to be EPS neutral or are you saying Shred-it is going to do what it’s going to do and you’re not considering that in how you’re guiding. And the reason why I ask this is for the quarter obviously it had a – I guess a negative $0.06 impact and previously my working assumption was that Shred-it was going to be EPS neutral. So I guess this restructuring but thought that was contemplated. Was what you saw in Shred-it unexpected for you or where you guiding exclusive of Shred-it from the get-go?
Mike Hansen: We’ve been guidance exclusive of Shred-it. We that integration – while it continues as expected, it can be a little bit unpredictable in terms of when this spend happens and so we’re just not prepared to give good guidance on a quarter-by-quarter basis. We do really believe that synergy opportunities are being achieved and will continue to be achieved and we really do believe that – that it will be additive to us. But we’re in a little bit of a period of unpredictability and hesitant to give any kind of guidance as a result.
Andy Whitman: Okay, that’s helpful. Is it even meaningful to try to get the quarterly breakdown, now that you’ve pulled the Shred-it contribution out of the SG&A and put it on its own line, would you be comfortable giving that and even if you did can we make anything of it?
Mike Hansen: Sure it will. I mean the quarter itself was $6.8 million and prior to this in the second quarter, I believe it was roughly $300,000 of a net expense, in the first quarter, because in our first quarter we were so close to the transaction date, that there weren’t a lot of integration activities happening.
Andy Whitman: Yes, Okay, all that is helpful. I think – that’s it, I think all I have for this time. Thanks.
Mike Hansen: Okay.
Operator: And we’ll go next to Faton Begolli with Merrill Lynch Bank of America.
Faton Begolli: Hi, this is Faton Begolli calling in for Sara Gubins. So my first question is on the SMP implementation. Could you update us on the role out of that and what benefits you are seeing?
Mike Hansen: Well, we are in a very early stages and so that the early stage is mean we are – we’re still building the system, we expect to be able to pilot that system, probably something early fiscal 2017 and if all goes well, then we’ll start to see a roll out some time in fiscal 2017 and continuing into fiscal 2018. So we’ll start to see the depreciation of that system, partially in 2017, probably if all goes well, a full year in 2018 and really want to start to see the benefit until we get to that point. So we haven’t seen any benefit of it yet nor have we seen any real expense yet.
Faton Begolli: I see, okay. Thank you and you also mentioned no change in add-stops. We had a point where we – where you would expect growth there or what would it take a expect growth in that metric?
Mike Hansen: Well it certainly would take our customers hiring at a more accelerated pace. When we think about the jobs, certainly the headlines are looking better and that is good news. We just haven’t seen that translate to net add-stops yet. Keeping in mind that the last several months are seasonally adjusted and so it gives a little bit difficult to equate the BLS information to our net add-stops. But we just haven’t seen yet and we need to see our customers more rapidly hire.
Faton Begolli: I see, okay. So switching gears to a potential acquisition, so giving your recent performance and your recent operating results, would you expand the countries outside of the U.S. few acquisition. Is that in your plan?
Mike Hansen: Well we – I would say that our first priority and our first preference would be to acquire businesses that are in our existing businesses within the U.S. and Canada. As certainly we will get the most value and synergies out of those kind of acquisition opportunities. Having said that, if we were able to find the right acquisitions internationally and in the right businesses we certainly would take a look at those. But as you probably seen from Cintas over the years, we would likely be a little bit more cautious about that. But our preference is acquisition opportunities in our existing businesses in the U.S and Canada.
Faton Begolli: Got it. Thanks. Okay, so my last question is just a housekeeping question, what do you expect for a share count for the end of the year?
Mike Hansen: I would – we are expecting something around $119 million.
Faton Begolli: Okay, that is all I have, thank you.
Mike Hansen: You’re welcome.
Operator: We will take our next question from Nate Brochmann with William Blair.
Nate Brochmann: Good evening, everyone.
Mike Hansen: Hi, Nate.
Nate Brochmann : So I want to follow-up a little bit on the add-stop metric and I know we haven’t really seen an increase in I know that we kind of been fluctuating from neutral, maybe the slightly positive and even sometime slightly negative. But if we were to assume that maybe at some point that starts getting moving, would there be anything in the cost structure or anything in terms of just utilization or capacity at a point that we’d have to add so significantly that we could not at least for a period of time recognize maybe some historical relationships between the increase in the add-stop and then incremental gross margins that would get associated with that route density?
Mike Hansen: Well, if we saw a rapid pick up in adds, so keeping in mind, we would likely have some additional material cost when a customer adds a new employee. We will go to our stockroom where we have existing garments and we’ll pull as many of those existing garments as we can and those are already in our cost structure. However, there are times due to size, differences, et cetera, where we may have to order some new garments as well. So there is a little bit of an incremental material cost impact. We then have to wash those instead of those garments sitting in our stockroom, we have to wash those garments and sort them. But then from a service standpoint, we’re already going to that customer, we’re already delivering and there really isn’t any additional cost there. So it is a very accretive kind of business and its great business and we love to see more of it. Would we get enough net add-stops to dramatically affect our capacity where we’d have to really see some significant hiring in order to do that. So, we’d have to have a lot of net add-stops affecting one or two or a few locations and that’s unlikely.
Nate Brochmann: Okay, and yes that’s helpful. And then second – and I don’t know if there is anything that you can really share, but obviously you’ve been very successful over the last several years in terms of adding some new services, anything new in the pipeline that we can talk about or anything else in terms of that incremental in terms of the extra cross-selling opportunity?
Mike Hansen: Well, we’re certainly always working on new products and services, no question about it. We are still working hard to penetration as many customers as possible with our Carhartt program. We’ve talked about Scrub Rental program and our chemicals. And those are still selling very, very well and the growth rates are still very good. I’m not ready to talk about any new items, but the really nice thing about our business is we’ve got close to a million customers that we’re seeing generally on a weekly or monthly basis and that relationship and that frequency create some good opportunities for us. And so we’re always looking and we’re currently working on ways to improve – not improve but increase the amount of products and services with each of them.
Nate Brochmann: Sounds good, I appreciate the time. I’ll turn that over.
Operator: And we’ll take our next question from Scott Schneeberger with Oppenheimer.
Scott Schneeberger: Thanks. Good afternoon. I’m curious on new wins and penetration. Just curious any commentary on end market themes that you’re seeing there where the strength is coming from for the most part?
Mike Hansen: You know the theme that we’ve talked about over the last years or may be a couple of years is that healthcare is becoming a more and more important vertical for us as we create more products for that verticals such as the Scrub Rental Program, such as Microfiber mops and wipes. It is becoming more important for us and that’s been a nice vertical. I would say that really nothing other – no other verticals that really top out as being a big change to us.
Scott Schneeberger: Thanks and I think that’s been covered pretty well, but I just ask it one more time just to drive it home. In the oil and gas end market, you’re saying low single-digit exposure that’s what it was last quarter that’s what it is this quarter. Was it about the same going back a year or 18 months ago? And then what I’m getting at is – is that come on strong this year or has that been pretty stable for the past couple of years?
Mike Hansen: Well, the oil and gas vertical requires a lot of fire resisting clothing. And so, I would say over really the last five years, it’s been a very nice vertical for us. We have had a lot success and the industry has had a lot of success selling fire resisting clothing to them. I would say that it hasn’t been a change to us though. It’s been fairly consistent and a good growth vertical for us for a number of years. I would say if you go back 10 years, Scott, probably less revenue in that area than today.
Scott Schneeberger: Excellent, thanks. And one more from me, I think it’s pretty clear, but just would love to get your perspective on the increase in the guidance. How much of it was relative to the internal expectation for the fiscal third quarter? How much was contribution from share repurchase that’s been done recently and just other puts and takes [indiscernible] or a bridge is essentially what I’m looking for? Thanks.
Mike Hansen: Well, the share buyback was $0.03, $0.01 in the third quarter and we expect $0.02 in the fourth quarter. I would say a lot of the guidance and we’re – I’m speaking to EPS was because of the good results in the third quarter certainly. And it just reflects our expectation for the fourth quarter. We’ve been at a pretty good operating margin for the year. I think Bill and I talked a little bit about that being relatively consistent throughout the year and I wouldn’t expect to change from that now.
Scott Schneeberger: Great. Thanks for the color.
Mike Hansen: Sure.
Operator: We’ll take our next question from Joe Box with KeyBanc Capital Markets.
Joe Box: Hi, good afternoon guys.
Mike Hansen: Hi, Joe.
Joe Box: So, Mike, I think you mentioned earlier in your prepared remarks that you do expect operating leverage from density gains. I’m just curious should we think about that statement as maybe being status quo versus you’d previously expected from density or are there maybe some bigger benefits out in front of us as you implement your SAP system and maybe we could be looking at continued above trend incremental margins?
Mike Hansen: I think the – our guidance would start to suggest that when you think about our third and fourth quarter of last fiscal year, we had some very healthy incremental margins. From a rental standpoint, the operating margin was close to 50% in the second half of the year, the incremental opportunity margins. It’s hard to keep that rate going for long periods of time, but we do still believe that that we can have very good incremental margins because we’ve got quite an infrastructure around the U.S. and Canada and we can continue to add products and services to our customers and some of those are not – some of the revenues that we’re getting is not processed, so we’re not really using any processing capacity. So we think there is still a certainly our good incremental margin opportunities as we move forward. Having said that at the 50% clip that that’s pretty hard to sustain over long periods of time.
Joe Box: Of course, I appreciate that. Thanks Mike. And just maybe one quick one on Shred-it, I appreciate the commentary you’ve given us so far, but I do want to try to understand maybe where we’re at from an integration standpoint, really just to help us with our model. Can you just give us a sense of maybe what inning you think you’re in as you’re integrating these two companies? Are you guys just scratching the surface on re-branding on IT and route consolidation? Or do you think you’re maybe in mid or late innings?
Mike Hansen: I would say that that we’ve passed the 50% mark and so we’re probably in that third quarter of the integration.
Joe Box: Thank you that – that’s helpful. And then just one last oil and gas question, I’m not really curious about the top line impact, but I do want to ask on working capital. If you do start to see some assets come back to you, could you possibly re-deploy those into other markets like construction or petrochemical or are they all pretty industry specific?
Mike Hansen: Well, it certainly would be customer by customer, but we can use fire resistant clothing in other industries besides oil and gas. Anything that’s got kind of a flash fire opportunity can – will need fire resisting clothing and there are lots of opportunities for those. So they’re not quite as broad as our general work wear uniform, but there are other opportunities except for certain customers, who have very specific garments that that we would have an inventory liability protection on.
Joe Box: And do you think we would notice it in the working capital line or is it too small?
Mike Hansen: I don’t think it would be noticeable, no.
Joe Box: Okay, thanks guys, nice quarter.
Mike Hansen: Thanks.
Operator: And we’ll take our next question from Adams [Indiscernible].
Unidentified Analyst: Hi, guys this is Adam [Indiscernible] on for John Healy. Great job on the quarter.
Mike Hansen: Thank you.
Unidentified Analyst: Yes, I was wondering if you guys could help us out with the SG&A line, it was impressive again this quarter. I was hoping you could guide us about that line item moving forward into 2016 from a modeling standpoint?
Mike Hansen: I am sorry, is it Adam?
Unidentified Analyst: Yes.
Mike Hansen: Adams, we’re not prepared right now to give fiscal 2016 guidance. I would tell you that that we do believe that we can continue to get leverage in the SG&A area, but not prepared right now to give 2016 information.
Unidentified Analyst: Okay, great. Thanks guys. Good quarter.
Mike Hansen: Thanks.
Paul Adler: Thanks.
Operator: That concludes today’s question-and-answer session. Mr. Adler, Mr. Hansen, I’d like to turn the conference back over to you for any additional or closing remarks.
Mike Hansen: Well, thank you very much for joining us tonight. As a reminder, we’ll be issuing our fourth quarter earnings in mid July. So we look forward to speaking with you at that time. Good evening.